Operator: Greetings. And welcome to the GBS Inc. Third Quarter 2022 Earnings Conference Call. Currently, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. Joining us on the call today from the company are Dr. Steven Boyages, Interim CEO and Chairman of the Board; and Spiro Sakiris, Chief Financial Officer. A press release announcing the results and the update was issued this afternoon and its available now on the GBS website. If you haven’t received this news release or if you’d like to be added to the company’s distribution list, please send an email to investor.relations@gbs.inc. Some of the statements on this conference call are forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, Section 21E of the Securities Exchange Act of 1934 and the Private Securities Litigation Reform Act of 1995, which involves risks and uncertainties. Forward-looking statements on this call include without limitation, GBS Inc.’s ability to develop and commercialize its diagnostic tests, realized commercial benefit from its partnerships and collaborations, and secure regulatory approvals, among others. Although, GBS Inc believes that the expectations reflected in such forward looking statements are reasonable as of the date made, expectations may prove to have been materially different from the results expressed or implied by such forward-looking statements. GBS Inc has attempted to identify forward-looking statements by terminology including belief estimates, anticipates, expects, plans, projects, intense, potential, may, could, might, will, should, approximately or other words that convey uncertainty of future events or outcomes to identify these forward-looking statements. These statements are only predictions and involve known and unknown risks, uncertainties and other factors included in the company’s public filings filed with the Securities and Exchange Commission. Any forward-looking statements contained in this release speak only as of its date. We undertake no obligation to update any forward-looking statements contained in this release to reflect events or circumstances occurring after its date or to reflect the occurrence of unanticipated events. During this conference, call the company may refer to EBITDA, a non-GAAP measure. EBITDA is not and should not be considered an alternative to net income/loss, income/loss from operations or any other measure for determining operating performance. EBITDA is normally calculated by adding back income tax, depreciation and amortization to net income/loss. I would now like to turn the floor over to Dr. Steven Boyages, Interim CEO of GBS Inc. Steven, please go ahead.
Dr. Steven Boyages: Thank you and good afternoon. And thank you for joining us on our quarterly business and financial update call today. I hope you’ve been able to briefly review today’s press release that provided an overview of our recent achievements, important upcoming milestones and financial results for the third quarter ended March 31, 2022. On today’s call, I would like to highlight some key achievements that GBS team has made this quarter, specifically our clinical advancements, as well as development in the build-out of our high-tech manufacturing facility. I will then turn the call over to Spiro, our Chief Financial Officer for a review of some key financial metrics, including our preliminary third quarter results and our forecasted cash burn. The prioritization of clinical development manufacturing builds has remained a key objective for our team in the last quarter and we’re excited to report we made several advancements supporting our lead asset that is the saliva based glucose testing. In March, we announced the Institutional Review Board approval to initiate subject enrollment at the Diabetes Research Institute of Sutter Health for our prospective study to collect coincident samples of oral fluid and blood to evaluate the time course of glucose. This study is expected to enroll approximately 40 adults with type 2 diabetes mellitus and utilizes key collaborators within the molecular diagnostics industry to ensure the integrity and quality control of each sample being collected -- being processed at the highest standards possible. We are fortunate to have industry leaders, such as Quest Diagnostics and the Johns Hopkins Hospital, Department of Pathology evaluating these samples to determine the amount of glucose in oral fluids, venous blood and capillary blood. Our team at GBS will perform subsequent statistical analyses of the correlation of glucose levels amongst these sample types. Leading the study is Dr. David Klonoff, Medical Director of the Diabetes Research Institute at the MPMC, will be the primary investigator for this study. We believe this is the first step of building a robust clinical portfolio as we expand our pipeline of additional indications to leverage our novel technologies. Turning to our manufacturing achievements this quarter, I’m also very excited to report today that the development plant commence construction is in its final stages. The University of Newcastle in Australia and GBS have locations identified on their campus and anticipate breaking ground in the back half of next quarter. Last month, we completed the sourcing for critical equipment to ensure build out timelines are maintained. This has a dual purpose of immediately utilizing the equipment in the interest of efficiency, to progress development of the biosensor, and at the same time, commissioned this equipment in preparation for the facility. Initial delivery of this equipment is expected in June of this year and we look forward to updating investors as these milestones are complete in the coming months and weeks ahead. We believe the need today for developing innovative biosensors for point-of-care monitoring and diagnostic tests, which can provide actionable results is core to the healthcare solutions of tomorrow. Our proprietary technologies incorporate non-invasive real-time saliva-based testing approaches with accuracy and ease-of use not previously available on the market today. Our patients with diabetes have the right to an affordable, convenient and disposable testing option. GBS intend to drive increased compliance and reliable testing solutions, which will in turn provide better outcomes to patients and reduce excessive cost of patients, providers and payers. We remain enthusiastic and committed to driving returns for our stakeholders. Finally, we would like to thank you for your support and look forward to building on our successes in the future. I would now like to turn the call over to our CFO, Spiro Sakiris for a more detailed review of our third quarter financials. Thank you, Spiro.
Spiro Sakiris: Thank you, Steven. I will now provide a brief overview of GBS’ third quarter financial results. For the quarter ended March 31, 2022 the company had a preliminary net loss of $1.34 million or $0.09 per share, compared with a net loss of $3.14 million or $0.27 per share for the same period last year. This is predominantly due to the timing of development and commercialization expenditure and government support income. Government support income was $192,500 for the three months ending March 31, 2022, an increased by $158,210 for the same period ending 2021. The nature of government support income is generally in the form of research and development tax offset payments and the process of the Australian Government MMI grant for the 4.7 million. The revenue from these grants is recognized as qualifying expenditure as the expenditure is incurred. As at March 31, 2022, the company’s cash, cash equivalents and marketable securities totaled approximately $10.7 million, compared to $12.5 million on June 30, 2021. As of March 31, 2022, the company had 14.9 million shares outstanding. Management’s continued fiscal responsibility and controlled cash burn provide a calculated runway for the company and we are confident that the markets will recognize this value. Management believes that based on the current operating plan and financial resources, its cash, cash equivalents and marketable securities as at 31 March, 2022, will be sufficient to cover expenses and capital requirements well into the first half of the 2023 calendar year and remains unchanged from last quarter. With an overview of our financials, I will now turn the call back to the Operator to open the line for questions. Operator, please open the floor to questions.
Operator: Thank you. [Operator Instructions] The first question comes from John Vandermosten with Zacks. Please go ahead.
John Vandermosten: Hey. Good morning, Steven and Spiro. How are you guys doing?
Dr. Steven Boyages: Good morning.
Spiro Sakiris: Very well. Thank you.
John Vandermosten: That’s good to hear. I wanted to start out with just the stake, LSBD stake. I think you mentioned in the proxy that they were about 7.5% stake right now. Do you anticipate that to be stable going forward?
Dr. Steven Boyages: All I…
Spiro Sakiris: Steven, do you want to handle that…
Dr. Steven Boyages: Go ahead. Yes. John, my understanding is, LSBD, their stake is now down to zero and that won’t be shareholders.
John Vandermosten: Okay. Okay. So it’s down to zero now. Okay. Very good. Well, I guess, we’re not too worried about that. Good. And then on the manufacturing facility build…
Dr. Steven Boyages: Thank you.
John Vandermosten: You gave us a good update there on that? Is it going to be a greenfield build or are you using existing infrastructure for that?
Dr. Steven Boyages: We’ve been using…
Spiro Sakiris: Oh! I will take that one.
Dr. Steven Boyages: This is Steven. Okay. Good ahead, Spiro.
Spiro Sakiris: Yeah. That’s fine. Yeah. It will be -- what they’re doing is land being identified and it will be a new build. So they’re just going to through it the manually approval process that’s required for that.
John Vandermosten: Okay. And are there any special specs, I guess, that you need for the space that compared to kind of just a standard space. I mean, obviously, you’re manufacturing medical grade equipment there and I’m wondering about any special specifications that are required.
Dr. Steven Boyages: Good questions, John.
Spiro Sakiris: The -- go ahead, Steven.
Dr. Steven Boyages: Okay. I will answer that. It won’t be hospital grade facility specifications, because we’re not going to be looking at patients on site. But clearly we will need to meet all of the biotech specifications when you get in laboratory.
John Vandermosten: Okay. And regarding the enrollment -- oh, congratulations, by the way on the glucose collection study start. When do you anticipate the first patient or the first enrollee to be put in the study?
Dr. Steven Boyages: No. We’ve actually already involved, I’m just trying to get an update this morning, but our last conversation in previous week, we’ve already completed 10 patients through the study. So 10 out of the 40 have already been completed. I expect that another five will be done this week. So we’re up to 15. So we’re aiming for 40 patients. We’re anticipating that that should be complete in terms of data collection, by the end of May, then analysis will take another two weeks to four weeks, depending on what we find. So we should have that data by the end of June.
John Vandermosten: Okay. Very good. Yeah. Sounds like it’s going pretty well there in terms of enrollment. And then on…
Dr. Steven Boyages: No. We think…
John Vandermosten: Yeah. I’m sorry. Go ahead.
Dr. Steven Boyages: No. I was just going to say, the team at Sutter Health are very excited. We’ve been in close contact with them. It’s all progressing well, in terms of the collection and the analysis and materials would have been shipped across to Johns Hopkins as well for their analysis.
John Vandermosten: And then, looking ahead to the next step for that study, do you need the final data from the collection study before you can start to develop the correlation algorithm?
Dr. Steven Boyages: Yes. It’s -- no that -- the final data will informs the specifics of the next phase of the studies. We know, in broad terms what we want to do. But really it will be iterative and informative as to our next steps. But that won’t take long in terms of the next design phase.
John Vandermosten: Okay. Great. Well, it sounds like everything is going smoothly and according to plan. Thank you for taking my questions.
Dr. Steven Boyages: Thank you, John.
Spiro Sakiris: Thanks, John.
Operator: [Operator Instructions] At this time, there are no further questions and I’d like to turn the floor back over to Dr. Boyages for closing remarks.
Dr. Steven Boyages: Well, thank you, Operator. And I want to thank everybody for joining us tonight and to have a great evening. Please feel free to reach out to our Investor Relations Department with any further questions.
Operator: Thank you for your participation. You may disconnect your lines at this time.